Operator: Good morning, ladies and gentlemen. Welcome to the AGI Second Quarter 2014 Conference Call. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Gary Anderson, Chief Executive Officer of AGI. Please go ahead, Mr. Anderson.
Gary Anderson: Thank you, John and good morning, everyone from sunny Toronto. I woke up this morning other than my ears hadn’t blocked from the plane ride, I thought I was out on the curry, so nice blue sky. And with us today, we’ve got Steve Sommerfeld, our Executive VP and CFO and Tim Close, our Senior Vice President, Strategic Planning and Development. And on the line is, Dan Donner, Senior Vice President, Sales and Marketing. On behalf of the board of directors, and the entire team at AGI, we are pleased to present our Q2 2014 financial results. Record Q2 ‘14 sales of $112.4 million, were up 19.7% over Q2 ‘13 plus Q2 adjusted EBITDA of $23.2 million set a new all-time record for our quarterly results and was an improvement of 38.9% over Q2 ‘13. Year-to-date sales of $198.6 million and adjusted EBITDA of $36.8 million represent record H1 performance. Sales to June 30, ‘14 were up 29% in period last year of adjusted EBITDA to June 30, ‘14 increased 53.7% over the same period last year. These comparatives go well beyond and drought impact from early 2013 and are broadly based. Sales in Western Canada to June 30 were up 35% over the same period in ‘13 and 17% over our previous H1 record. Similarly, U.S. sales were 27% higher than H1 ‘13 and 19% over the previous H1 record. International sales were up 26% in H over H1 ‘13 and 7% higher than our previous record. I would like to commend all of our very talented sales and operational teams for their dedicated service to our customers, especially as we needed to squeeze last minute orders into an already heavy backlog. I’d also like to acknowledge our senior leadership teams were effectively laying the ground work necessary for the business to achieve both record top line and bottom line growth. As we look ahead to the second half of ‘14, we anticipate another very large harvest in the U.S. as well as a great crop in many parts of Western Canada. This, boards well for a continuation of strong demand for on-farm products into 2015. And we’ll also stimulate further need for commercial grain handling and infrastructure upgrades. Internationally we expect a busy second half of the year with a number of large projects hitting their full stride in Ukraine and in Latin America. We are already booking this, new orders into 2015, we also see a portion of the existing work shift into ‘15 for completion. While conditions in Russia and Ukraine remain volatile, long-term potential for these markets more into our continued support and development. We are encouraged by IFC’s commitment to proceed this fall with plans that will see a number of pilot projects being sold to a cross-section of Ukrainian farmers that are currently considered below the threshold for bank financing. As part of this program, we will be offering several distinct grain handling storage and conditioning in packages. We believe that these test sites will prove to be a very beneficial, will be very beneficial down the road in the development of this huge untapped market which represents approximately 60% of Ukraine’s farmland. It could be three years, it could be five years, but eventually with the support and vision of IFC, positive market dynamics will prevail for the farmers of Ukraine. Meanwhile the top tier corporate farms remained active with their projects albeit more challenged by financial constraints including ECA coverage, which at the moment with UDC is on a case by case basis. Commercial infrastructure development in the region continues including the involvement of the multinational grain traders. We are also seeing strong activity in other international markets affected in both our court log and order backlog. Latin America in particular is gaining traction with a total of five mid-sized projects now underway, approximately $20 million in orders. The groundwork that we invested in over the last couple of years is really beginning to pay off. Brazil however remains beyond reach from North America. Tim Close, our Senior Vice President, Strategic development has led an extensive 18-month exploration and analysis process. We’ll not really note future M&A opportunities we have become familiar with the marketplace and confident proceeding with an organic entry into this market. Stage one will have us focused primarily on commercial grain handlings, on the commercial grain handling space, and first utilizing OEM manufacturing arrangements for non-critical components. In-house manufacturing capabilities and market development will evolve from there. We’re pleased to announce the appointment of Wilfred Porth, as Managing Director of Brazilian Operations. Wilfred has extensive experience developing Greenfield plants in Brazil. He also has strategic experience directly in the green handling storage and conditioning space having led Brazil’s dominant market leader Kepler Weber with their business turnaround from 2007 to 2010. Wilfred has been acting in an advisory capacity with us since last December and has proven to be a great bet with our senior leadership team. In May when we announced our plans to be avail two manufacturing plants in the U.S. we suspect that caught some people by surprise. After all we’ve often indicated that we still have room for growth in our existing facilities. However, when we consider the long-term anticipated level of growth internationally, particularly with peak seasonal requirements, it became apparent that we stack now. Our preference has always been to leverage existing North American operations, better setting from smaller specialized business units. We remind people of the breath of our catalog and our concern that we might lose efficiencies if we try to develop a single source broad-based production capacity or capabilities offshore. And where ease of market entry exists, we didn’t want to lose the flexibility by targeting production capabilities into one specific region. So in the end we decided that North American manufacturing investments still remain sound and secure choices. The new 135,000 square-foot facility planned in Iron Works and Decatur, Illinois, will not only provide us with production efficiencies from the consolidation of two separate plant locations but it will also enable us to properly accommodate the growth of the new structural steel product line. Over the past couple of years, as the code business grew rapidly at Union Iron, we began developing both engineering and manufacturing capabilities to build our own tower and trust systems. That’s for the commercial grain handling equipment. By nature of these systems, this product line requires a significant footprint on the shop floor which presents capacity constraints in the current facility. Given the considerable amount of structural opportunities apparent within our turnkey sites, we expect to grow this product line substantially contributing to a doubling of Union Iron’s overall business over the next five years. Had our Hi Roller plant at Sioux Falls, South Dakota, we have been experiencing frequent bottleneck in our paint line. As we continue to grow the business at Hi Roller, the frequency of the constraints has become more problematic. An adequate paint mine upgrade is unrealistic without a major facility addition on to what is a very old building. Instead we have opted to invest in a new 120,000 square foot facility, complete with a new powder coat paint line. This will provide Hi Roller with considerable efficiencies and the capacity to manage peak demand more optimally. By doing a Greenfield plant, we will also avoid the cost of disruptions associated with major renovations ensuring that all of our customers’ needs are being met. The Stanford both Union Iron and Hi Roller projects combined is about $30 million with target expiration dates of Q4 2015. In June, we celebrated the grand opening of our Batco-REM production facility in Swift Current. Batco now has the capacity to go after and market aggressively again. Our order backlog is responding accordingly. We have ramped up our conveyer production roughly 40% since moving into the facility last fall. Combined with REM production, our workforce compliment has grown to 125 employees compared to 77 people last year at this time. We expect Batco and the REM GrainVac demand to remain strong and growing over the next few years as we leverage our capabilities. We are grateful to the board of directors for their support of these investments in Swift Current operations. And I might add that we would just outs of current earlier this week with our board of directors for our regular board meeting and it was a lot of fun just to have them out and show them the facility. And I know the employees really appreciated both the support of the investment and have an income out and acknowledge that. Q2 also marked the 10th Anniversary of our IPO on the Toronto Stock Exchange, our company looks a lot different than it did 10 years, thanks to no small part to the support of our long-term shareholders. Together we have grown from a North American focused on-farm portable grain handling equipment manufacturer to a global leader in grain handling storage and conditioning solutions for wide spectrum of customers, spanning farm, commercial and processing markets. And while our customer has adapted to size and scope, we continue to hold permits and values of our entrepreneurial routes, so it gets us through the tough times and keeps us hungry for the new opportunities around the corner. Most recently it’s how we’ve been able to hold our own in Eastern Europe, even though the current conflict, even during the current conflict. And in the future it will be how we develop new markets globally and to strive to – for that optimal level of growth and diversification within our market. So I think at this time, John, we’ll turn it back to you for Q&A.
Operator: Thank you. (Operator Instructions). Our first question is from Peter Prattas from Cantor Fitzgerald. Please go ahead.
Peter Prattas – Cantor Fitzgerald: Good morning, guys.
Gary Anderson: Hi Peter.
Peter Prattas – Cantor Fitzgerald: First question relates to North American sales. Clearly you’re having a stellar year this year but I’m looking more into 2015 and wondering. Can you give us an update on your assessment of the infrastructure gap in North as it stands currently, and whether you think that growth on the commercial side has the potential to offset any possible retrenchment in on-farm sales in 2015?
Gary Anderson: While our view is that certainly with back to back record years in the U.S. are close to record, we don’t know what will transpire yet in the U.S. and a very strong year-after a record year in Western Canada. We’ve seen some deficiencies exposed both on the commercial side and the on-farm side for moving the grain through our system. And so, we’re seeing, this year was a little different on the commercial side. In the U.S. a lot of smaller projects, but a lot of activity, refurbishing, upgrading capacities and that kind of thing. And it’s just from year-to-year as companies adjust their CapEx spends. We anticipate ongoing very strong infrastructure upgrades and development on both sides of the border and serving Western Canada our continuation of at the farm as well trying to deal with these massive crops that have been coming.
Peter Prattas – Cantor Fitzgerald: Great. And then just my last question has to do with Brazil, you did mention there you’ve decided to build it organically. So, I’m wondering if you have any sort of estimate as to how much you plan to invest there, when you might start generating some sales and whether you expect any significant drag on earnings in the near-term?
Gary Anderson: We don’t expect any drag on earnings on it. It will be modest at first and we’re not going to try to knock the socks off anything. I think that’s one of the mistakes that lot of North Americans have done when they’ve looked at Brazil. One of the first things you have to say is it’s a dangerous environment in some ways and yet it’s exceptional opportunity. And so, I mean, we have spent a lot of time in there. We know the industry now and we understand the marketplace and the very needs of customers. We have a few products that are kind of slam-dunk opportunities that we will start with. And as I said in my opening remarks, it will be pretty modest that first leveraging just some OEM manufacturing arrangements for non-critical components and go from there. Tim, do you want anything to add to that?
Tim Close: No, I think that’s sums up really well. And we’re cautious as we move forward. There are some near term opportunities that we want to – that we can access with the plants we have and with some arrangements within reserves. So we’ll follow that approach and then ramp up accordingly.
Peter Prattas – Cantor Fitzgerald: Sounds, like I did plan. Thanks very much.
Gary Anderson: Okay. Well, thanks Peter.
Operator: Thank you. The following question is from Spencer Churchill from Paradigm Capital. Please go ahead.
Spencer Churchill – Paradigm Capital: Thanks, good morning guys.
Gary Anderson: Hi Spencer.
Spencer Churchill – Paradigm Capital: Just another follow-up question I guess on the North American outlook for the second half of this year, you mentioned expecting to match a record performance in the commercial side. But in terms of the portable side, I know we got a nice support to the USDA this week in terms of what we can expect for corn production. Do you think that it’s early but do you think that you can grow this year-on-year versus last year which was a very strong one?
Gary Anderson: Yes, I’m going to make sure Steve answers this.
Steve Sommerfeld: And thanks for mentioning. I think in the MDNA we made an effort to point out that the second half of 2013 was very strong. There is a huge crop and with a late harvest, two things that obviously help us a lot. This year it’s an even larger crop and it’s so large that it’s unlikely that regardless of how good conditions are during harvest that it will be quick, a quick one. There is too much crop to handle. Whether we significantly exceed last year, we’ll kind of play out in the fourth quarter more than the third, given the size of the crop. This is too soon now to really make that call.
Spencer Churchill – Paradigm Capital: Okay. Fair enough. And then maybe on the international side, so backing out rock looks like it was a very strong quarter I guess on Latin America and Asia, do you think that you can – in terms of the outlook for the second half do you think you can match that kind of performance?
Gary Anderson: I think we’ll ask Dan to come on the line, in terms of matching performance, a lot of these projects actually will – they’re underway right now. So, as they’ve been in our backlog and now they’re going to shift over to the sales line that, Dan, do you want to jump in?
Dan Donner: Right, Gary hit the nail on the head. A lot of these projects we’ve been working on for at least 18 months. So there is not continue forward for the rest of the year, we’ve got good visibility to what we need to shift right now in terms of carryover into 20. And I think there is more or less of the Latin American projects will push into 2015. So, good visibility, good results for the balance of this year. And in terms of code activity, looking into the next year, it’s tracking along what we’ve seen in the last few years so we’re feeling good.
Spencer Churchill – Paradigm Capital: I guess, maybe just in terms of the pushing in the 2015 as you said, Latin America not so much but it sounds like some of the projects you’re hoping to get done in Rock were pushed into 2015 and maybe if you could give us a little color on the reasons behind that?
Steve Sommerfeld: Sure, Gary, it’s okay, I’ll make the comment.
Gary Anderson: Yes, please Steve.
Steve Sommerfeld: Gary touched on it briefly. So one major project significant portion of it pushing into 2015, it’s kind of a combination of one the general size of the project and the complexity and length of time it’s taken to get 400 some containers stage to correctly to grow out in the right period of time. And also a combination of the customer themselves trying to finalize all their finance details in the middle of a bit of a turbulent situation over there. But so confident that what we’re going – the portion we have in our forecast for 2014 will move forward as planned.
Spencer Churchill – Paradigm Capital: Perfect. Thanks and good luck guys.
Gary Anderson: Yes, thanks Spencer.
Operator: Thank you. The following question is from Christine Healy from Scotia Bank. Please go ahead.
Christine Healy – Scotia Bank: Hi, good morning guys.
Gary Anderson: Hi Christine.
Christine Healy – Scotia Bank: Hi. I guess, first question for Tim, I just want to clarify that the results, maybe it’s just not clear to me. But you said there is, OEM arrangements for the non-critical components for the equipment. But what about the actual equipment, is that – did you find a way that you can still manufacture it in your North American facilities and ship it there or are you renting a facility, I’m just not clear on that?
Steve Sommerfeld: Yes, and that’s still, we’re still finalizing how some of this will come together. But it will be a combination of using some third party manufacturing from non-critical parts that are components in Brazil. There is also…
Gary Anderson: You need to give an example of what that is.
Steve Sommerfeld: Yes. So, on a conveyer when we, in between the spends head and the tail, its two ends of the conveyer, you’ve got the trunking. And that trunking is pretty simple, there is nothing – there is nothing really proprietary to that design or the trunking piece so that we can confidently outsource and so we’re looking at a few different sources for that within Brazil. And a combination of that in bringing them in, they had head and tails which are proprietary and we wouldn’t be – we wouldn’t want to outsource those. We’ll bring those in from North America. And then, a lot of our suppliers, they actually have operations within Brazil, so we can – these are for the components we don’t manufacture in North America or anywhere. And we buy it from third parties here. We can, they have operations in Brazil and we can leverage our global purchasing power to really efficiently purchase that within Brazil. And then we’ll assemble that to meet the sort of near-term opportunities. And then that strategy will evolve to eventually manufacturing all, of that piece within Brazil.
Gary Anderson: Right. So, off that Christine, with building a portion of the product in Brazil, forcing some of our complimentary within Brazil, and exporting a smaller portion from North America, on which we’ll pay some taxes and tariffs. We think we have enough in five countries that we can be competitive on the commercial projects in Brazil and do some solid business.
Christine Healy – Scotia Bank: Okay. And what is the expected timing of this, like – and you’re saying near-terms or like you’re going to be doing like second half like now basically or just few months?
Dan Donner: Yes, the commercial side and Dan can comment here too. These are, it has been everywhere there are long lead times in the projects. But we are looking – we’re quoting on opportunities now. And so we’re – so this is real-time and we are resolving sort of the supply chain that we’ll need to back that up and deliver on these projects.
Gary Anderson: Yes. So I would expect Christine it wouldn’t really impact the rest of this year that we’ll start – we’ll get some businesses fall that will ship in early next year.
Christine Healy – Scotia Bank: Okay. And then Gary, in your opening comments when you were talking about Hi Roller and Union Iron projects there, I think you mentioned it for one but maybe not the other, what is your take on just the expected capacity increase that this will bring?
Gary Anderson: Yes. Well, on both, it’s considerable capacity increase. But on Union Iron, I said that this could set us up for a double. That’s more reflecting the business bringing in the actual structural steel component into our the mix of the product that we’re providing. And the other piece is more seasonal capacity, search and things like that to be able to adapt quickly.
Christine Healy – Scotia Bank: All right, thanks. That’s helpful. And just lastly, just on Mepu, just the weakness in demand in Finland, where do you see or do you expect this to process in the second half?
Gary Anderson: Yes, our friends over in Finland are not having a great year in general, in the Finnish economy etcetera. But for us, I guess we’re learning that the EU subsidies take while to get all established so you kind of have that drop in the third, every third year by the looks of it here right now. So, we’ll have to work through this the second time, it happened in 2011 as well that the subsidies really didn’t get rolled until end of Q2, which made it too late for a lot of the farmers. If the farmers commit to the project before the subsidies are officially in place, they lose their subsidies. So, they have to hold off. We had hoped, this is where some of the smaller parts of being on the ground in Eastern Europe, we’re still the top customers we’re doing business with. But our efforts for some of the smaller farmers and relatively smaller farmers and sending product in from Finland, it’s been deterred a bit so.
Christine Healy – Scotia Bank: Okay, great. Thanks a lot.
Gary Anderson: Okay, thanks.
Operator: Thank you. The following question is from Marc Robinson from Cormark Securities. Please go ahead.
Marc Robinson – Cormark Securities: Thank you.
Gary Anderson: Hi Marc.
Marc Robinson – Cormark Securities: Hi guys. So, you mentioned in the MDNA around margins price increases having helped. I’m just wondering when those went into effect and whether there would be a year-over-year benefit in the back half of the year as it relates to price increases.
Gary Anderson: After up, and they didn’t go all into effect at the same time. So, both of them, they were modest, there weren’t significant price increases. You can think in that kind of 2% to 4% on both pipelines. And somewhat it went in really in Q1 and somewhat it went into place early in Q2. Both of those, I think you could expect some impact year-over-year in the second half.
Marc Robinson – Cormark Securities: Okay, great. And then it’s probably worth recognizing these low corn prices. So you talked about that sort of $4 to $5 sweet spot for your business and with pricing being below that maybe you want to comment on how you think that might impact. Isn’t this in the near-term?
Gary Anderson: Sure.
Dan Donner: And I think it’s a good question and a fair question. When we look at the farmer operations and I’m sure you’ve done the same thing. On an operating margin basis, they are still quite profitable when corn is in the low to mid-$3 range being over where it’s getting dicey is the land-charge and whether the renting and right now the rental charges are pretty high. There could be some, that’s where I could see the market really moving. The question you’re probably asking is do we think in 2015, the number of corn rate which will be reduced because farmers will shift to a more profitable?
Marc Robinson – Cormark Securities: Well, there is that, there is that. But I’m thinking more about the near term and the likelihood that farmers use on farm infrastructure and storage to stock pile crop. What that means for a near-term business because I think we can all make a guess on what that might do to production in ‘15 but I’m thinking more about near-term stuff?
Dan Donner: Okay. Well, that’s great. And you know what, there is a number of articles out there now about U.S. farmers talking about storing this crop for an extended period of time waiting for prices to come back because they all see what we see, there was large crop last year, can be a massive crop this year. I think you might see more grains stored on the farm which is wonderful for us. And these farmers are waiting for a slight rebound at least in the corn prices.
Marc Robinson – Cormark Securities: Fair enough. Okay. That’s it from me. Thank you.
Gary Anderson: Yes, thanks Marc.
Operator: Thank you. The following question is from John Chu from AltaCorp Capital. Please go ahead.
John Chu – AltaCorp Capital: Hi, good morning everyone.
Gary Anderson: Hi John.
John Chu – AltaCorp Capital: Maybe just a bit more color on the Brazil initiative and so, is there a significant CapEx component to this, and are you guys actually going to have some, put some order on the ground and whether the plans for that? Number one.
Gary Anderson: Yes, sure. It wouldn’t be significant to the point of what we’re doing in the U.S. at all. We will, at first, we will just be leasing some space for during assembling and staging and shipping. And then over time we can start bringing in some part of more specialized equipment and do some of the manufacturing there. But it will be pretty modest that starts.
John Chu – AltaCorp Capital: Okay. And then, I know generally you haven’t discussed the specifics of the backlog and coding activity. But I know last quarter you talked about portable grain handling being at record levels. Any additional comment you can provide on that?
Tim Close: Well, I think, it’s very high. It’s higher than last year. Again, remember last year, at this time of the year in 2013 we were well into what was looking to be a record crop. So we had a high backlog this time last year as well. Where the backlog is just considerably higher than it was last year, again, Gary’s opening comments of that call where we had the capacity expansion and the ability to produce more in the second half. So, I think it’s higher than last year but this time of the year, when you’re in season you don’t expect to have a super high backlog. And it was might as relevant if that was – the backlog never a few months ago.
John Chu – AltaCorp Capital: Okay. And in terms of the $30 million CapEx program, can you give us a sense in how you think that’s going to spread out over the next several quarters?
Tim Close: Yes. Well, we’re in very early stages now. We’ve acquired the land for both projects. We haven’t laid out the plan precisely yet so I have to still make some pretty high level estimates. I expect at least half of it will be in 2015, possibly a little more.
John Chu – AltaCorp Capital: Okay. And then, just lastly, can you just give us an update on some of your hedging programs and what your plans are for that?
Tim Close: Yes, sure. So, we’re – we had choked two years typically. Our plans so far in 2014 has been as the contract drops off for 2014 rallying into 2016. We’re keeping our hedge exposure or our un-hedged exposure probably in that 40% range based on current activity levels I guess. So, we haven’t made the decision to dive in and ran really increase our hedge-book, we’re comfortable with where it is today. But it’s something we do talk about whether it’s time to lock-in some more for the future.
John Chu – AltaCorp Capital: And you’re referring to foreign exchange or steel or?
Tim Close: Foreign exchange, yes.
John Chu – AltaCorp Capital: Okay, all right. Okay, thank you.
Gary Anderson: Yes, thanks John.
Operator: Thank you. The following question is from Nelson Mah from Laurentian Bank. Please go ahead.
Nelson Mah – Laurentian Bank: Hi, is Wilfred based in Brazil or in Canada?
Gary Anderson: Wilfred is based in São Paulo, yes.
Nelson Mah – Laurentian Bank: Okay. And he’s the only person there of your based in Brazil right?
Gary Anderson: Correct, yes, right now yes.
Nelson Mah – Laurentian Bank: Okay. And the other question, as I told, in the MDNA and we have both Ukraine, I guess, it seems like ‘15 seems less bullish about it right. I was wondering what your outlook was, I know it’s kind of foolish. But what would your outlook be?
Tim Close: Well, we’ll have more carryover into the region than we have in previous years, to the one part facility primarily but other projects as well. So, when you look at the 2015 you need to take into account where EDC is. As Gary said today, they are on a case by case basis, which is a much more cautious turns than they have been in recent times. If we had to stay from the sidelines that would certainly impact some of our business in ‘15. But if you want to point out and it doesn’t replace EDC but we do business in Ukraine with entities that pay cash, multinationals we have the new contract with late this year, early next year for the multinational about all cash. Some of the well capitalized alternate services of financing, not to say that we can totally replace EDC but it doesn’t shot up right out of the country odds or so. We’ll see how the situation of all in Ukraine, so those are the factors you need to weigh.
Nelson Mah – Laurentian Bank: So you don’t only mention an alternative financing arrangement it’s also in addition to the $53 million contract right?
Gary Anderson: Well that’s not one contract that was sort of our total book.
Nelson Mah – Laurentian Bank: But is there an addition to that then, sell-side of that?
Gary Anderson: What, I’m sorry, Nelson, which?
Nelson Mah – Laurentian Bank: You mentioned like some of your other customers would pay by cash for example that are the $53 million orders that’s?
Gary Anderson: Well, the recent contract we signed will be part of that $53 million, it’s in our backlog. There is, my point was, in this contract was in this contract was one and cash provided, well after this conflict began, people aren’t staying out of the country, the multinationals especially aren’t staying out of the country, everyone still see at the opportunity. It’s a matter now of which players are able and willing to put cash up front. And others that are more reliant on the EDC will stay on the sidelines for a period of time.
Nelson Mah – Laurentian Bank: Okay, got it.
Operator: Thank you. The following question is from Jason Zandberg from GI Financial. Please go ahead.
Jason Zandberg – GI Financial: Hi guys.
Gary Anderson: Hi Jason.
Jason Zandberg – GI Financial: I wanted to dwell into your Canadian sales this quarter you had a nice quarter I think it was up 39% year-over-year. If I remember it correctly last year you had a weak quarter in the second – in Canada. And that was I believe due to I think you termed it as a change in buying patterns with the plenty larger distributors in Canada. So, I’m wondering as that to get sort of reflection now in terms of, has that relationship factor more buying patterns and how much of that year-over-year growth is from the sort of recovery, if it is indeed recovered, what percentage of that is due to the recovery and the distributors buying pattern?
Gary Anderson: Right, yes. So that I think reflects another player in our industry more so than it does although we would build related equipment for that with the aeration products that goes to storage. So, we’ve felt that last winter was more the Western Canadian farmers had capitalized and cash kin on we’re now talking a year ago, a year ago last winter. So, almost two years ago now, so they cashed in on what had been a surge and commodity prices and so they been early. And that had impacted the industry to a degree and I think it was more of that than the actual buying patterns of one particular distributor. We didn’t agree with the deal of some of the other competitors in our industry. And so, with respect to, the priority that was mentioned as changing its buying pattern, the business we’re doing with them today is substantial and it’s steady and it’s going well. We’re very pleased with it.
Tim Close: Yes, I can add to that a little bit. I mean, our sales in Canada through all of our major distributors are up significantly over last year, and like Gary said last year was impacted by commodity prices of ‘12, and people are being in their bins and a little slow of it. All product lines are up, all distributors are up year-over-year and record levels in the first half of ‘12. So, it’s increasing story, decrease in generation ‘14 and on the handling side.
Jason Zandberg – GI Financial: Sure. So you would say that that nice jump in Canadian sales is truly reflective of what you’re seeing on the Canadian landscape as opposed to some sort of weird variable that was thrown in from last year?
Gary Anderson: 100%.
Jason Zandberg – GI Financial: Okay, awesome. Thank you.
Gary Anderson: Thanks Jason, yes.
Operator: Thank you. (Operator Instructions). Following question is from John Chu from AltaCorp Capital. Please go ahead.
John Chu – AltaCorp Capital: Hi, just a couple of quick follow-up questions here. Just wondering if the floods or the rail are just had any impact on how the Q2 results were, maybe orders were pushed back in the Q3 because farmers couldn’t monetize their crops?
Gary Anderson: Q2 of which year?
John Chu – AltaCorp Capital: This year.
Dan Donner: Yes, well, (inaudible). John, obviously maybe to a very, very small degree, it wouldn’t have had the meaning we tagged on Q2.
John Chu – AltaCorp Capital: Okay. And then, just drip participation?
Dan Donner: It’s fluctuated it’s hanging in around 15%.
John Chu – AltaCorp Capital: Okay. And then just lastly, I think you targeted your storage margins to be in the 20% range in a couple of years, I was curious how that’s tracking as well?
Gary Anderson: Go ahead.
Tim Close: Yes, that’s tracking well. We’re very happy with the results that of our storage plants.
John Chu – AltaCorp Capital: Is it ahead of schedule or is it still tracking for 20% in a couple of years?
Tim Close: I would say we’re still tracking for 20% in a couple of years, yes.
John Chu – AltaCorp Capital: Okay, great. Thank you.
Gary Anderson: Yes, thanks John.
Operator: Thank you. And we have no further questions registered. And Mr. Anderson, please go ahead.
Gary Anderson: Okay. Well, thanks everybody for your attendance today and the questions. We look forward to catching up with you in the next few weeks and months. We’re looking forward to all that comes with a busy second half as far as the company goes. And we’re wishing all our farm customers safe and prosperous harvest. So we’ll talk to you soon. Thanks, bye-bye.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. We thank you for your participation.